Operator: Good morning, everyone, and welcome to ProAssurance's Conference Call to discuss the company's Second Quarter 2023 Results. These results were reported in a news release issued August 8, 2023, and in the company's quarterly report on Form 10-Q, which was also filed on August 8, 2023. Included in those documents were cautionary statements about the significant risks, uncertainties, and other factors that are out of the company's control, and could affect ProAssurance's business and alter expected results, please review those statements. This morning, management will discuss selected aspects of the quarterly results on this call and investors should review the filing on Form 10-Q and the accompanying press release for full and complete information. Management expects to make statements on this call dealing with projections, estimates, and expectations and explicitly identifies these as forward-looking statements within the meaning of the U.S. Federal Securities Laws and subject to applicable Safe Harbor protections. The content of this call is accurate only on August 9 of 2023 and except as required by law or regulation, ProAssurance will not undertake and expressly disclaims any obligation to update or alter information disclosed as part of these forward-looking statements. The management team of ProAssurance also expects to reference non-GAAP items during today's call. The company's recent news release provides a reconciliation of these non-GAAP numbers to their GAAP counterparts. And I'd like to remind you that the call is being recorded and there will be time for questions after the conclusion of prepared remarks. Speakers on the call today will be Ned Rand, President and CEO, and Dana Hendricks, Chief Financial Officer. Also joining on the call today are Executive Leadership Team Members Rob Francis, Kevin Shook, Ross Taubman, and Karen Murphy. Now, I will turn the call over to Ned.
Ned Rand: Thank you, Elliott, and good morning. Today, Dana and I are looking forward to giving you some insight into the second quarter numbers that we released last night and discussing the drivers we're seeing in the medical professional liability and workers' compensation markets I'll provide some commentary regarding the market conditions we're seeing, and then Dana will provide the consolidated results and key drivers of our investment returns and book value. The results we released last night represent a solid quarter and highlight both the challenges and opportunities in the markets in which we operate. At a high level, there's been relative stability in the current accident year loss ratio albeit at higher level than in 2022, and a decline in favorable prior accident year reserve development. Underwriting expenses are stable for the quarter relative to the prior year and investment results have improved significantly. The competitive market and challenging claims environment that are impacting our current and prior accident year loss ratios have been persistent within our industry for some time now, and we expect these to continue, providing us some indication of what we can expect in coming quarters. With that background, I'll walk you through the results reported in our key segments. The lower underwriting result in our Specialty P&C segment was driven primarily by a reduction in favorable prior accident year reserve adjustments. We have historically experienced considerable favorable development in this segment, though the amount of development in recent years has been lower than the average for the past decade, while we still booked favorable development in the quarter Our assessment of the claims environment has made us cautious about reducing the level of outstanding reserves. We continue to monitor increased severity trends in a handful of our legacy jurisdictions. We also have responded to the difficult environment by setting higher initial case reserves on reported claims. We booked a current accident year loss ratio of 84.7%, up slightly from last year. We recognized net favorable prior accident year reserve development of $7 million in the quarter, primarily in our Medical Technology Liability business. The claims environment that I described in detail on last quarter's call remains with us for the foreseeable future and we continue working diligently to manage losses and mitigate the impact of social inflation. Given the current environment, the impact of any change may not be obvious in a single quarter, instead, we expect the results from our efforts to be evident over time. Our gross written premium increased by 1% from a year ago with new business from our specialty line exceeding expectations and contributing to the top-line growth. Our strategy in the E&S and specialty market is to retain the business we like, reduce limits where we can, and walk away when we cannot achieve our targeted price and to be opportunistic on new accounts. Consistent with that strategy, we were at $12 million of new business in the quarter, up from $8 million last year. The Medical Technology Liability new business production increase year-over-year despite a very competitive environment. Premium retention for the segment overall was 83%, a point below last year's, as we continue to focus on price over volume. Price competition is the largest driver of business not renewing with us. We also continue to see healthcare consolidation and practice changes affecting retention levels and leading to the loss of some policyholder accounts in both the standard and specialty books. Overall, pricing in the Specialty P&C segment increased by 6% in the quarter, continuing to compound upon last year's 6% increase. Underwriting expenses were down slightly from last year as we continue to focus on efficiencies and process improvements, systems integration, and statutory consolidation. An increase in ceding commission, which reduces underwriting expenses contributed to the decline in expenses in this quarter. Compensation and related costs have increased in the quarter compared to the prior year, there's a number of open positions have been filled. The expense ratio of 26.5% was slightly higher as a result of lower earned premium this quarter compared to 2022. Turning to the Workers' Compensation Insurance segment, gross written premium decreased by $1 million in the quarter with a challenging and competitive market impacting both retention and renewal pricing. In our traditional business, renewal pricing was down 7% and retention was 80% for the quarter. We saw an increase in audit premium for the quarter and increased our estimate of carried EBUB premium, both of which helped to offset the decrease in retention and pricing. We also saw growth in new business in our traditional book adding nearly $6 million of new accounts in the quarter. The current accident year loss ratio of 72.6% remained consistent with our Q1 loss ratio. It was approximately a point higher than the second quarter of 2022. A portion of this increase was due to higher headcount in our claims department and the associated compensation costs which flow into our loss ratio through unallocated loss adjustment expense. We also saw an increase in estimated losses recognized under our reinsurance contracts annual aggregate deductible, which contributed to the increase in loss ratio. We booked no change in the prior accident year reserves compared to favorable development of $2 million last year. This led to an increase in the calendar year loss ratio. Expenses increased compared to last year with compensation costs, travel expenses, and IT costs driving the increase. The increase in compensation costs primarily reflected the higher headcount in this segment as we filled open positions. The segment expense ratio was 35% for the quarter. I'll finish with the Segregated Portfolio Cell Reinsurance segment, which posted a profit of just under $1 million for the quarter and the Lloyds Syndicates segment, which generated a small profit. Now I'd like to turn the call over to Dana to share our consolidated results and some highlights from the balance sheet and investment returns. Dana?
Dana Hendricks: Thanks, Ned, and good morning, everyone. For the second quarter, we reported net income of $10.6 million or $0.20 per share and operating income of $8.6 million or $0.16 per share. The main difference between the two is the impact of net investment gains. The operating gain in the quarter reflected improved loss and combined ratios compared to the first quarter of this year, coupled with strong performance from our fixed income investments and LP LLC investments. Our consolidated combined ratio increased 5 points from the second quarter of 2022 with lower favorable development on prior accident years driving the change. Improved investment results provided a 4 point benefit to the consolidated operating ratio, therefore the operating ratio increased 1 point from last year. Our consolidated current accident year net loss ratio was essentially unchanged from the second quarter of 2022 after excluding the impact of purchase accounting and prior year ceded premium adjustments. The primary driver behind the change in the consolidated net loss ratio for the quarter was the reduction in favorable prior year reserve development. In the second quarter of 2022, we recognized $19 million of favorable development. In 2023, we recognized favorable development of $6 million. The consolidated expense ratio decreased slightly to 31.1% and was aided by an increase in tail premium earned this quarter as compared to last year's second quarter. The ratio also benefited from a decline in transaction-related costs, which were in our 2022 expenses, but not in 2023. Excluding those beneficial effects and the impact of changes in DPAC amortization in net premiums earned, the expense ratio increased by 0.5 percentage point due to higher compensation and travel costs. Net investment income grew by 44% to $32 million in the quarter as our reinvestment rate has exceeded that of the maturing assets in each of the last eight quarters and our floating rate securities reset to higher yields as well. As noted earlier, the increased investment income had a positive impact on operating performance as it largely mitigated the increase in the combined ratio when comparing to last year. In the second quarter, we reinvested maturing bonds that yield approximately 180 basis points higher than the portfolio's average book yield. Equity in earnings from our investment in LPs and LLCs, which are typically reported to us on a one-quarter lag increased to $8 million in the quarter. However, the results in the quarter include the fourth quarter results of eight funds, due to the timing of when those funds report to us. As we noted in our last earnings call, we expected positive marks on the eight funds. Net investment gains which are excluded from operating income and drive the difference between operating and net income were $3 million in the quarter driven by $2 million in gains from the change in fair value of the contingent consideration liability associated with the NORCAL transaction. Other income decreased to $2.7 million in the quarter from $5.3 million in the same quarter of 2022 due to changes in fair -- in foreign currency exchange rates and the impact of foreign currency denominated loss reserves in our Specialty P&C segment. This quarter the effect of foreign currency movements was a loss of $400,000 due to the strengthening of the euro in the quarter compared to a gain of $2.5 million in the prior year period. Our book value per share at quarter end was $21.24, up 4% from year-end, driven by aftertax holding gains of $24 million on our fixed maturity portfolio which flows directly to equity. Our share repurchase contributed $0.32 to the increase in book value. Adjusted book value per share, which excludes $5.07 of accumulated other comprehensive loss primarily from unrealized holding losses is $26.31 as of June 30. We consider these unrealized losses to be temporary as we have both the intent and ability to hold to maturity. We are pleased to report a solid quarter, which included increasing investment income, an uptick in new business, and a stable current accident year loss ratio. That concludes our prepared remarks. Elliot, we're ready for questions.
Operator: [Operator Instructions] Our first question today comes from Mark Hughes with Truist. Your line is open.
Mark Hughes: Yes, thank you. Good morning.
Ned Rand: Good Morning, Mark.
Mark Hughes: Ned, you talked about kind of relative stability I think in the environment, any experience in 2Q around the large claims? I think the Q1 experience was pretty meaningful, how is that extended through the rest of the year?
Ned Rand: It's a nice question, Mark. Yes, in the first quarter, we had a couple of, I would call very large claims that impacted the quarter. We continue across the market to see those sorts of claims occurring, although we didn't have any of that occurred in our book during the quarter, so we remain cautious in that regard. I would say, is an observation -- while we're not necessarily seeing the environment getting better, we're not seeing it get worse, but have our eyes wide open as to what may come.
Mark Hughes: What's the -- when you think about the new business, your new business seem to be up pretty strongly, pricing up 6% pretty consistent with prior quarters. I guess, it's the same question, do you want to be pursuing new business with -- in this kind of environment with the current accident year loss picks up in the mid-80s?
Ned Rand: It's a good question, and I mean, the short answer for us is, yes, if you're doing it in a way that is smart. I'm going to ask Rob Francis maybe to chime in on that a little bit. Rob?
Rob Francis: Sure. Hi, Mark, Rob Francis. So, pursuing new business obviously in a market where we don't think pricing is firm can be tricky, but that's what underwriting of course is all about. We think our success in new business over the past six months has been largely driven by our execution of our strategy, which following our integration of NORCAL was really to reconfirm our relationships with our -- with our elite and larger agency partners and we think that's bearing fruit. Also, we are seeing some of the larger carriers express a little bit more price discipline. They're filing for some single-digit rate increases and sticking to those rate increases even as some of the smaller mutual companies, regional companies, are happy to undercut business, so it's a pick and choose situation, but we do think there are few opportunities out there.
Ned Rand: Thanks, Rob.
Mark Hughes: Yes, appreciate that. And then on the workers comp, no prior year development, current accident year loss picks up a little bit, I'm just looking year-over-year. Can you give us a sense of what you see there, and particularly, is there any kind of medical inflation that's been emerging?
Ned Rand: Yes, maybe I'll make a brief comment and then will get Kevin Shook to chime in. So I believe, yes, we are beginning to see inflation work its way into kind of the work comp claims costs and I think as we've talked about previously, you get a nice tailwind in the beginning as compensation costs go up to drive premium up and then you're going to catch that on the a little bit later as a headwind as it works its way into claims costs and we're beginning to see that inflation creep in. Kevin, what would you add to that?
Kevin Shook: No, Ned, I think that's exactly right. We've been cautious in releasing prior year reserves because we are starting to see inflation come through the book, both on policies written later in '22 and end of '23. You know, '22 benefited from the top-line audit premium and the industry was saying there's a tailwind, but if our policyholders are paying workers more it will eventually go through indemnity inflation, and healthcare workers, where wage inflation is very prevalent is ultimately going to increase the cost of care. And just lastly, with our claims tail being about half of the industry, we're certainly going to see inflation before a lot of our peers. So while frequency is down, the average cost per claim is up and it is being driven largely by indemnity and a little bit by medical.
Ned Rand: Thanks, Kevin. I want to emphasize two things that Kevin -- one thing that Kevin referred to in the impact, I think it has in two different places. We do have a shorter tailed business than most of the work comp industry and I think that causes us and allows us to recognize trends faster than a lot of the industry. The other thing that it does though by closing clients in a high inflation environment is, we avoid the compounding impact of inflation over a long period of time because we've been able to close the claims. And I think those are both really important factors as we look at our business.
Mark Hughes: Thank you very much.
Ned Rand: Thanks, Mark.
Operator: Our next question comes from Paul Newsome with Piper Sandler. Your line is open.
Paul Newsome: Good morning, thanks for the call. I wanted to ask a little bit about the core price increases on your medical practice or personal liability business, 6% seemed a little low given what we've described as a pretty high inflationary rate and is that enough to get you to a place where we can move the effective tactical margins into better or you just sort of holding still from a margin perspective, in your core business.
Ned Rand: Yes, Paul, thanks for the question. I think one of the things that it doesn't just get reflected in that rate increase is the other actions we're taking as an organization and they're around just the re-underwriting of the book on the business that we're walking away from and especially in our Specialty business kind of the restructuring of some of the terms and conditions on the E&S business in particular. When you put all that together and then you compound the rate increases that we've been achieving over the last three to four years, we feel like we are getting beyond trend and making incremental improvement in the underwriting results, but it's not going to turn as fast as it did in the early 2000s, where we're getting 30% and 40% rate increase, that's just not the market we live in today.
Paul Newsome: Is that same through on your workers' comp business? Do you think you are raising rates faster than the underlying claims inflation rate as well or..?
Ned Rand: Well, I think we are - yes, and maybe, Kevin can chime in, but we -- we are not raising rates in comp right now. Rates are coming down in comp, but we think we're controlling the way they are coming down and have been controlling the way they've been coming down over the last number of years. I think when you look at kind of rating bureau indications and Kevin will correct me when I go straight here, but we're on eight or something years of rate reductions in the work comp market, and if you just choke those indications, rates in the ProAssurance book would be far lower than where they are today. As an individual account underwriter using a lot of underwriting adjustment, we've held against a lot of that declining trend. We do recognize that the decline and loss cost justifies the decline in rate, but we're holding where we think we need to hold. Kevin, I may have misstated some of that, anything you'd add?
Kevin Shook: No, nothing to add, Ned.
Ned Rand: All right, thanks.
Paul Newsome: Thank you for the help, as always appreciate
Ned Rand: Thanks, Paul.
Operator: Your next question comes from Bob Farnam with Janney. Your line is open.
Robert Farnam: Hi, there, good morning. A couple of questions, one on the workers' comp segment. It's more of a broad view. So, the workers' comp line for the industry has done pretty well over the last decade or so, but it seems like you guys have had a hard time generating any meaningful underwriting profit for several years now. So I'm just curious, what's the primary difference between your book and maybe the overall book, is it just the shorter tailed aspect of it, you recognizing the severity trends or is there something else that's going on that's creating a less profitable book in the industry?
Ned Rand: Bob, it's a great question, and I think it is essentially what you said, which is we are closing claims faster, which I think means that we are kind of owning up to some of the things that are happening in the loss environment and costs in the loss environment perhaps faster than some of the industry will ultimately recognize them. As for the mix of business, I don't think there's anything particular to our mix of business that is vastly different. In fact, because we write largely more suburban and rural risks and smaller employers that generally has favored the loss environment where you've kind of got a more wholehearted effort to get injured workers back to the wellness and the dignity of work. Kevin, what would you add to that?
Kevin Shook: Yes, absolutely. Bob, it's really all how we have recognized prior year development and booked our accident year loss ratios more precisely because of that shorter claims tail. So if you think about the industry depending upon the research that you read, calendar year combines are 91, 92 estimates for '23, but there's 15 points, 14 points of favorable development, which means the accident year combined are 104 to 108. When we look at our book of business and did this at the end of '22 and we compare our accident year loss ratios over the last five years to the industry, we're still several points better. So I think it's the acceleration of the development that we've already taken in the past, more precise accident year loss ratios in the industry being slower from a claims perspective when it comes to favorable development so.
Robert Farnam: Okay. So, what you're saying, so the 72.5 or so that you're booking thus far this year you're saying for an accident year loss ratio, you're thinking that's -- that's actually decent relative to the industry at least the peers that you go against?
Kevin Shook: No, that's correct. And keep in mind when the industry historically has booked and again lately 14 points or 15 points, historically Eastern has booked 3 points or 4 points, so I do think that is the biggest difference.
Robert Farnam: Okay, great, thanks for that color. And the second question I had was on the Segregated Portfolio Cell Reinsurance. Now, this may be something better taken offline, but I was just curious like that the underwriting performance of the portfolio cell segment has done really well for some time so it could go back. So I was just curious what makes the underwriting results in that segment much stronger than in the Specialty P&C and the Workers' Compensation segments?
Ned Rand: I think it's the way that we share risk, right? I mean there's more skin in the game for all the participants, be it a company on captive, where they're taking risk or an agency on captive, where we're sharing risk alongside an agency partner because everyone is sharing more fully in that risk, I think that leads to better results.
Robert Farnam: Okay. All right. Now, that makes sense. All right. That's it for me. Thanks for the color, guys.
Ned Rand: Thanks, Bob.
Operator: [Operator Instructions] Now turn to Matt Carletti with JMP. Your line is open.
Matt Carletti: Thanks, good morning.
Ned Rand: Good morning, Matt.
Matt Carletti: I was hoping you could just give us a little more color around the competitive environment, just trying to get a feel for two things. One is, when you guys are competing for business is it one or two kind of aggressive outliers that are garnering market share or are you guys the outlier on the high end and most of the rest of the market that is less interested in making a profit? And then when you do win business, you guys are obviously very well known for kind of your reputation of standing by your insureds and defending them. In the past, I think you've talked about how there is some amount, people willing to pay for that. Did you find that's the same now or better or worse?
Ned Rand: Yes. So I guess on the first question around the competitive environment, I don't think the environment is kind of symmetrical as you're hoping to make it. It really is almost down to a risk-by-risk difference and who competes on a particular risk can be driven by geography, it can be driven by the type of risk that it has. Kind of echo what Rob said earlier, we are beginning to see kind of larger carriers that are showing greater price discipline, but we continue to have a number of very well-capitalized mutual companies that are willing to chase price down to levels that we think don't make a lot of sense and kind of who is getting involved in any one risks, it's going to vary. So, sometimes we are going to be the outlier because we're going to be the higher price, we do see that frequently. I think that's in part why you see an 83% retention in the quarter. And other times, we are going to find risk, where our service model allows us to charge a higher price and sell. The insureds that we are selling to today are different in a lot of ways from the insureds of 10-plus years ago, and so the value proposition can and does change for larger, more complicated insureds, the hospital systems are very, very large groups of physicians, that defense are very valuable, especially and just our ability to work up claims even if they're not going to go to trial, just the diligence that our claims team puts into understanding and researching and finding experts around claims, continues to add value even if you don't plan to go to trial, but the desire to go to trial across the entire book I'd say is less today than it was 10 years ago.
Matt Carletti: Okay, fair enough. Thank you very much.
Ned Rand: Yes. Thanks, Matt.
Operator: This concludes our Q&A. I'll now hand back to Dana Hendricks, CFO, for closing remarks.
Dana Hendricks: Hi. Well, thank you to everyone that joined us today. We look forward to speaking with you again on next quarter's conference call.
Operator: Ladies and gentlemen, today's call has now concluded. We like to thank you for your participation. You may now disconnect your lines.